Operator: Ladies and gentlemen, welcome to BWX Technologies Inc. Fourth Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions] Following the company's prepared remarks, we will conduct a question-and-answer session and instructions will be given at that time. Please note this event is being recorded. I would now like to turn the call over to our host, Mark Kratz, BWXT’s Vice President of Investor Relations. Please go ahead.
Mark Kratz: Thank you, Andrea. Good evening and welcome to BWXT’s fourth quarter and full year 2021 earnings call. Joining me are Rex Geveden, President and CEO and Robb LeMasters, Senior Vice President and CFO. On today’s call, we will reference the fourth quarter earnings presentation that is available on the Investor sector of BWXT website. We will also discuss certain matters that constitute forward-looking statements. These statements involve risks and uncertainties including those described in the Safe Harbor provision found in the Investor materials and our SEC filings. We will frequently discussed non-GAAP financial measures which are reconciled to GAAP measures in those materials. With that Rex, I will turn the call over to you.
Rex Geveden: Thank you, Mark and good evening everyone. Before we get into the results, I want to welcome Robb LeMasters to his first earnings call as BWXT's Chief Financial Officer. Robb was new to his role at our Investor Day a few months ago, when many of you met him for the first time. Since assuming his new role, Robb has impressed me and all of us with his appetite for detail, his drive for continuous improvement, and his disciplined stewardship of the company's financial resources. As the company rolls off a multi-year capital campaign and positions itself for future accelerating growth, I've asked Robb to focus on driving our financial results from several angles including managing the glide path downward on CapEx and maintenance levels in 2023, improving the efficiency of managed working capital, and expanding margins through cost efficiencies and synergies within the company. We will also assess how we can make small future investments to increase operational effectiveness and modernize operational support functions. With the completion of two large capital campaigns in our near-term focus on streamlined execution, BWXT is firmly positioned to layer in new revenue and margin expansion from our growth vectors. Our first step on that path is consolidating from three operating segments into two. The new segments will be called Government Operations and Commercial Operations. This new organizational structure lines up nicely with how we intend to leverage capabilities within each segment to more effectively meet customers' needs. We also expect this action to result in meaningful future strategic and cost synergies both for our customers and our shareholders. Turning now to earnings results, earlier today, we reported strong fourth quarter earnings of $0.95 per share on $592 million of revenue, wrapping up 2021 on a solid note in an otherwise challenging year. We finished 2021 with earnings of $3.06, representing modest growth from 2020. So, let me give you some color on what challenges we saw before providing a business update on the exciting progress we're making across BWXT. First and foremost, the COVID-19 pandemic persisted. We saw the heaviest impacts to operating productivity during the spikes that occurred in the first and third quarters. We had expected to gain back some efficiencies in the fourth quarter that we had forfeited earlier in the year. However, the unforeseen rapid spread of the Omicron variant limited progress once again. We continue to experience lingering disruption into early 2022, but we believe things are easing and then we were finally turning the corner on COVID. It's hard to specifically define the full financial impact of these disruptions, but we estimate that it was well north of $10 million of operating income pressure across the year and was concentrated within our coordinating business where majority of our workforce is necessarily on site to manufacture critical components. As I mentioned on the last call. the other major challenge in the Navy business came from workflow complications related to the installation of new large and complex machinery into operating factories, which itself was exacerbated by COVID-related supply chain and transportation disruptions. And services growth was delayed by the timing of major awards from government customers, proving even our conservative estimates to be in hindsight, aggressive. Beyond operational challenges, we had some financial headwinds that expressed themselves in cash and earnings, namely the beginning of the roll-off of fast cash pension reimbursement, which runs through segment operating income. Despite all the headwinds, we were able to modestly grow earnings and achieve important operational and developmental milestones in an otherwise challenging year. We remain focused on executing against our robust backlog and advancing our growth initiatives in 2022 and in the years to come. In the core Navy business, we are entering the last year of our major capital campaign. So, the equipment installation bottlenecks that we experienced in 2021 should begin to abate. Impressively, the resulting facilities and equipment should leave our flagship business with the necessary capacity to meet the production growth forecasts in the Navy shipbuilding plan over the next few decades. With our 2022 CapEx budget, we are upgrading our scheduling and cost reporting systems to provide greater visibility commensurate with our investment and capacity. We also believe that if additional domestic demand surface from the U.S. Navy organically or from the needs of our allies in light of an increasingly contentious global landscape, we should be able to shoehorn some of that into our workload planning systems and enhanced capacity. On that note, and as an update on the Ocas [ph] Nuclear-powered Submarine Task Force, we continue to stand by as they perform an 18-month assessment of their needs and potential partnerships. While we don't have any specific update on potential roles for our company, we continue to engage our Navy customer and in parallel, are performing a self-evaluation on the capabilities and capacity that we could offer to support the security partnerships. Beyond Navy work, we are leveraging our category one license to grow the business. About a year ago, BWXT was awarded a contract from the National Nuclear Security Administration to design and prototype a demonstration system for uranium conversion and purification. I'm well pleased to report that the project is running ahead of schedule and we look to transition to production and scale the process over the next year or two. On the government services side, BWXT's joint venture received authority to proceed on the Savannah River Integrated Mission Cleanup contract and we are currently in transition and satisfying all deliverable requirements. We anticipate a fee-bearing activity began in the spring and this long-term project is expected to provide solid EBITDA growth for the business over the course of 2022 and 2023. Shortly after the Savannah River Award, the Department of Energy awarded the Pantex Y-12 M&O contract to another competitor. However, the award was subsequently protested and the DoE has paused the award pending corrective actions. Ultimately, we remain optimistic about the BWXT team's competitive proposal and will await a determination from the Department of Energy. Lastly, in Government Operations, we continue to make progress on multiple micro-reactor programs. We completed another design review for the Strategic Capabilities Office, and we are now in receipt of the RFP for the demonstration phase. We anticipate that it will be awarded around the middle of the year. In Commercial Operations, long duration life extension projects continue to progress on schedule and more recently, we've seen positive developments around the long-term small modular reactor opportunities. In early December, Ontario Power Generation selected the GE Hitachi SMR solution to deploy at the Darlington nuclear site, which is already licensed for new nuclear build. They intend to leverage the strength of the Ontario-based supply chain inclusive of BWXT to construct Canada's first commercial grid scale SMR as early as 2028. As more provinces and nations decarbonize, we are seeing renewed interest in nuclear power as a component of green energy portfolios. Shortly after the OPG announcement, BWXT, GE, Hitachi, and Synthos Green Energy announced the intention to cooperate on deploying 10 small modular reactors in Poland by the early 2030s. The Tennessee Valley Authority is also exploring the construction of multiple advanced reactors, starting with the GE, Hitachi, SMR. BWXT intends to leverage its unique facilities and skilled workforce, which we are well suited to manufacture a wide range of projects -- products, including reactor pressure vessels, reactor internals, and other key nuclear components. Lastly, I want to provide you with a detailed update on the commercialization efforts for the Tc-99 generator product line as we see a clear path for a submission of our new drug application to the FDA by the end of the quarter. All production equipment is installed and commissioned. All facility modifications are complete and we are operationally ready. We completed cold chemistry runs in the fourth quarter and have produced repetitive hot chemistry batches at full scale this month. The results from those -- from these 700 Curie [ph] batches have been positive and are being used to validate our quality control methods, which will be integrated into the data package for the FDA. We utilize the drug substance to successfully label our Tc-99 with the most widely used cold kits in North America, also a critical input to the FDA package. We remain confident that such data will support regulatory and commercial market acceptance for the BWXT generator given that our product meets the needs the pharmacopoeia standards Tc-99. We also held a formal type B meeting with the FDA a few weeks ago. We were pleased with the feedback and are shaping our package to drive a high quality submission. The FDA agreed that strengthening the Mo-99 supply chain remains a priority. In fact, over the last two months, this fragility has been on full display with the shutdown of the HFR reactor in The Netherlands that supplies 20% of the world's Mo-99. To that end, we intend to request a priority review with our submission to the FDA. As a reminder, the BWXT product uses targets that will ultimately be irradiated in a power reactor in Ontario, meaning that continuity of supply is a highly attractive feature of our offering. So, what is left prior to FDA submission, in the coming weeks, we will complete testing of the radio pharmacy line. Following that we will conduct validation and qualification using cold and hot material through the entire production sequence. This is the last component of the testing phase. Final tests complete three registration batches which entails three rounds of hot chemistry through the full process, yielding the data required for a high quality FDA data package. We remain committed to this exciting nuclear medicine market and expect to build our growth not only through the Tc-99 generator line, but also through expansion into therapeutics in contract drug manufacturing, enabled by multiple major partnerships, some of which we have disclosed publicly. Finally, we believe that this portfolio consisting of uniquely positioned defense and commercial nuclear power assets, combined with multiple shots on goal provides for our investors, high predictability in our core defense and clean energy businesses with growth, optionality and compelling adjacent nuclear markets. And with that, let me turn the call over to Rob.
Robb LeMasters: Thanks Rex for thanks of support and good evening everyone. I agree there as much honing we can do as we prepare for these interesting growth markets to bear fruit after years of investments and strategic positioning under Rex's leadership. I look forward to taking on that challenge with an excellent team around me. Let's start with total company results on slide four their earnings presentation. Fourth quarter revenue was strong at $592 million, up 6% compared with the fourth quarter last year, driven by growth in both nuclear operations and nuclear power segments. This resulted in about $2.1 billion for the full year, at slightly lower nuclear operations revenue was offset by higher nuclear power segment revenue. Fourth quarter adjusted EBITDA was also robust at $123 million, up 18% with EBITDA margins 200 basis points higher than the fourth quarter of 2020, driven by stronger operating margins in the nuclear power segment, and increasing depreciation in both NOG and NPG. For the full year, EBITDA was down 2% to $418 million. This result also included $15.6 million of net FAS/CAS pension headwind or 4% of adjusted EBITDA. So, underlying EBITDA would have been up in 2021 despite the multiple businesses -- business challenges we faced last year. Fourth quarter earnings were $0.95 per share, a high watermark for the company and up 28% when compared with $0.74 per share in the fourth quarter of 2020. I would note that fourth quarter earnings benefited from a lower tax rate that was driven by a state tax reimbursement that had a corresponding negative impact to NOG operating income.  State taxes are considered part of our cost base in government contracts and this change required a reversal. Full year 2021 earnings were $3.06 per share, a modest 1% increase compared with the prior year. Again, these results include a significant step down and government reimbursed pension costs, as well as some of the challenges throughout the year related to COVID-19 and award delays. We have a detailed 2021 EPS bridge on slide five to provide all of the puts and takes. Let me quickly step through fourth quarter and full year 2021 segment results on slide six and seven, which are reported into the old segmentation. In the fourth quarter, Nuclear Operations generated $453 million of revenue, up 6% driven by higher labor volume and higher long lead material production. Operating income was $85.8 million also up 6% and NOG operating margin was 18.9%. In the Nuclear Power Group, revenue was $114 million, up 7% driven by higher fuel and fuel handling and more field service activity on the commercial power side. Revenues also benefited from higher BWXT Medical sales, which were up 15%. Segment operating income was $23 million, up significantly driven by higher revenue and a more favorable sales mix. Segment margins were a robust 21.1 20.1% for the quarter. Lastly, Nuclear Services' operating income was down $2.2 million to $6.1 million on lower contract fees and some higher costs in the fourth quarter. For the full year, NOG revenue was down about 1% as higher labor volume and incremental revenue from uranium processing was more than offset by lower long lead material production. Operating income was down 5%, primarily driven by less FAS/CAS income. But this year's performance was also negatively impacted by productivity inefficiencies that came from capital equipment installation bottlenecks and persistent COVID-related absences that we were unable to overcome throughout the year despite our best efforts to work overtime and hire additional labor. Operating margins finished the year at 19%. Nuclear Power segment revenue was up 10% on higher fuel and fuel handling and increased field service activity on the commercial power business. BWXT Medical sales were also a driver as that business was up more than 20% this year. NPG's operating income was down slightly and margins compressed to 13.1%, primarily driven by less government COVID release. And finally, Nuclear Services finished the year with $27.9 million in operating income, a little higher than last year on better overall contract fees performance. Before turning to guidance, I would like to spend a minute on the RE segmentation that Rex spoke of earlier. As you can see on slide eight, we are combining the legacy NOG and NSG segments into the new Government Operations segments. Legacy NPG is moving to the new Commercial Operations segment. We are eliminating the legacy other segments which held R&D activity as well as Tc-99 pre-commercialization costs. Those costs will be moved to their respective new segments on a project-by-project basis. You will recall at our Investor Day that we outlined the Tech-99 pre-commercialization spend as having been running at about $20 million per year of P&L investment in 2021. And our expectation was that it would run a little higher in 2022 before that effort is fully stood up. So, the unification of those costs was a logical next reporting step to get a full picture of our commercial business' financial performance. And as these new growth vectors emerge, we will continue to evaluate how to optimize, manage, and report the businesses. But we expect some cost efficiencies. The main reasons for making this re-segmentation were operational and are found in two core opportunities. First, as our technical services business grows, the transfer and cross training of personnel and capabilities will need to be managed seamlessly. The unification of NOG and NSG under one roof will provide more cohesive decision-making. Second, as our micro reactor and advanced fuel efforts begin to become larger business lines, they can benefit from the facilities and supporting costs already present in other parts of the Government Operations family. Real synergies seem highly possible with this new structure. Moving to 2022 guidance on slide nine, today's guidance closely aligns with our medium term guidance that we establish in early 2021, which includes the addition of annual EBITDA growth expectations and EBITDA ranges for the reporting segments. We have also included cash from operations guidance. Note that we are providing guidance on the new reporting segments as we affect this transition in the first quarter of 2022. As we laid out at our Investor Day, we see total company revenue and EBITDA growth of about 3% to 4% this year. We are reiterating our 2022 EPS range of $3.05 to $3.25. We anticipate about $260 million to $290 million of operating cash flow and see our capital expenditures in the range of $180 million to $200 million. In the business segments, we expect Government Operations revenue to grow 3% to 4% and EBITDA is expected to be in a range of $400 million to $410 million, representing high single-digit growth. In Commercial Operations, we anticipate a range of 2% to 6% revenue growth, with more of the upside variability around the medical business. Given continued investment in commercializing the Tc-99 product line, Commercial Operations EBITDA is expected to be $40 million to $45 million. We have provided other information on this page to support modeling 2022 expectations. I also want to provide some color on the cadence for how we see earning shaping up this year. There are a number of business items that are influencing the shape of the year, but by and large, not dissimilar to prior years. First, as Rex mention and in line with the others are -- what others are seeing in this industry, we see some pressures from COVID-related absences early this year with the Omicron variant spike. Most of its impact manifested itself and an inability to get efficiency gains and labor productivity in our core Navy business. So, we expect that part of our business to be a little depressed in the first quarter. In Government Operations, the transition on Savannah River is occurring in the first quarter and this is non-fee-bearing work, which is also expected to have outsized earnings in the fourth quarter when we typically conduct award fee true-ups. In the Commercial Operations segment, we see increased field service activity in the spring and fall, driving higher second and fourth quarter profit, and a typical low cycle for medical isotopes in the first quarter, due to a regular planned maintenance outage of a large cyclotron where we generate some products. All said, we expect about 20% of our annual earnings guidance coming through in the first quarter, stepping up for the middle part of the year, and finishing strongly in the fourth quarter similar to, but not as sharp, as the 2021 profile. On slide 10, we have provided the 2022 guidance bridge. Since Investor Day, we have made some minor updates to some of the components on this slide. In core operations, we originally provided a range of $0.10 to $0.30 of earnings growth in 2022, which was predicated around large potential services awards. We have revised that range to $0.15 to $0.25, give an update on service contract awards. We raised the lower end of that range given that we have successfully begun transition on the Savannah River contract. However, we are lowering the high end of the range given that the Pantex Y-12 contract has been pulled back for DoE corrective action, ultimately resulting in a delayed transition. Besides those items, the businesses are largely in line with how we saw it in November. There's been no change to expect a net FAS/CAS headwind of $17 million in 2022. Other below the line adjustments include pension, interest expense, and tax rates that result in modest headwinds, which are generally offset by a lower share count. Lastly, I want to wrap-up with some remarks on M&A. Since leading that function for over a year and a half, I have taken a close look at several acquisition targets, but many have fallen short of meeting enough of our strategic and financial criteria. We will remain disciplined in our approach and continue to strongly prefer small tuck-ins to our core Government and Clean Energy businesses. On the other side of M&A, we continuously and unemotionally evaluate the current portfolio as we think about the best ways to optimize shareholder value. While it is an iterative process and circumstances can change, we have looked at our businesses and do not see anything that would unlocked shareholder value through separation at this time. We believe that as new growth materializes, the value will manifest in the share price or we will evaluate suitable alternatives. Now, that we've been through the financials, let me just pause and say that I'm very eager to be part of this unique company and to have the opportunity to help drive BWXT's exciting long-term durable growth prospects. With solid businesses underpinning our advancements in new technologies, we plan to expand and explore new growth vectors, all of which I believe will create meaningful value over time. With that, let me hand it back to Mark.
Mark Kratz: Thanks Rob. That concludes today's prepared remarks. Operator, please go ahead and open the line for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] And our first question will come from Michael Ciarmoli of Truist. Please go ahead.
Michael Ciarmoli: Hey, good afternoon, guys. Thanks for taking the questions here. Maybe, I guess either Rex or Robb, can you -- the NOG bookings in the quarter for 1. -- basically $1.2 billion, can you just remind us what's included in there? And then as part of that booking, what was sort of contemplated for inflation and sort of hedging against whether it was a range of raw material costs, other sort of input costs you expect to get the same margins that you historically had on future work here?
Rex Geveden: Yes, Michael, let me -- and good afternoon, by the way. Let me start with that one, maybe flip it over, Robb for a little bit on the materials inflation aspects. That was an that was an order that related to the prior pricing agreement, which, as you know had four Virginia's and Columbia. And so we have some growth coming out of nuclear operations this year with Columbia feathering in and of course, continuing on the Virginia program, so it’s a really just a funding -- that was a funding booking is what that was.
Michael Ciarmoli: Okay.
Rex Geveden: In terms of how we structure those pricing agreements, I think, you know, that we build escalation in for materials and labor and protect, to some extent protect against, sort of hedge against inflation by use of firm quotes from our suppliers. And to some extent, what we plan in the pricing agreement with our government customer. Maybe Robb, you could add some flavor.
Robb LeMasters: Yes, sure. On the supply side, we're monitoring all what's going on as you are in terms of raw material pricing. As know, we sign up these pricing agreements, we generally have very good visibility on how that schedule is going to play out over multiple years. We have almost three quarters of the materials sort of known when we're sizing up these pricing agreements. So, then we're sort of exposed to some extent, on that remaining quarter. So, we were constantly monitoring that. We have escalation in our agreements and we try to get as much of that in the door as we can, and then monitor that over time. And of course, as we sign subsequent pricing agreements, if we actually see some sort of escalation that gets out of line, we'll try to bake that into the next pricing agreement to make sure we're protected adequately.
Michael Ciarmoli: Got it. Got it. That makes sense. And then just shifting gears on the FDA submission to the Tc-99, I know you guys laid out more of a detailed roadmap at the Investor Day, but I guess seemingly, the submission is probably slipped here. I think he said, by end of first quarter, I mean, seemingly slipped a good chunk. But should we kind of assume that that everything you laid out in terms of the commercialization and ramp still on track? Or will this kind of call it a 90 day delay have any sort of -- or create any sort of headwinds on that kind of plan you threw out there last year?
Rex Geveden: No, I feel really good about where we are Michael. A few quarters ago, I said that we would expect to submit it by around the end of the year, I was deliberately hedging a little bit in my language, because we were experiencing COVID things and supplier issues and in particular, we were having trouble getting tax in from Italy at that time, because of COVID issue. Where it stands right now, radio chem is completely done and we've been doing hot runs as I said, in the script here, radio farm is completely done. And we're doing some integration testing and software testing over there and then the facility modifications are all completely done. So, we have this gleaming factory ready to go that we're running product through hot product and tagging it to cold kits. And so I'm very well pleased with the progress and see very little schedule risk between now and the FDA submission and, and even more. So more importantly, really, as I see no risk about the product quality. We've always suggested that this there's no technological risk here. It's really just about the industrialization of the technology and I maintain that position. It's going to be a great product for the market and we're very close to the finish line.
Michael Ciarmoli: Got it. Thanks a lot guys. I'll jump back in the queue.
Rex Geveden: Thanks Mike.
Operator: Our next question comes from Bob Labick of CJS Securities. Please go ahead.
Bob Labick: Good afternoon. Thanks for taking my questions.
Rex Geveden: Hey Bob.
Bob Labick: I want to -- thanks. I wanted to pick up on just on the last comments on the FDA submission timeline. We're really excited to hear about the hot chemistry running and that kind of stuff. So, you mentioned you're seeking priority review from the FDA, could you remind us what that means? And then kind of the timeline for incremental questions for NIM and how it plays out? And what gives you confidence what the FDA is seeking in this submission given that these things don't happen all the time, right? It's a rare event. It's a big opportunity, but what kind of insights you have as to what they're seeking and obviously, what you're submitting?
Rex Geveden: Yes, sure. So, I'd say there's a couple of answers to that, Bob. The one is we've had a series of meetings with the FDA to update them on our progress and on our approach. So, they have visibility all along as we go through this development, including this type B meeting that I referred to in the script. And so they know what we're doing, and we know what their expectations are. So, that's one aspect of it. The other -- sort of second aspect to it and there's a couple of dimensions to this. One is that we have some consultants who have been involved in the FDA approval of radiopharmaceutical medical devices for decades that know exactly what the FDA are looking for, and of course, we have our own experience team. Maybe the final point on all this is that there's a published pharmacopoeia out there, that has the parameters that the drug must satisfy from a quality control perspective, for it to meet the FDA standards. And so we have the pharmacopoeia, we have experts on the outside, experts on the inside. And we have this running dialogue with the FDA itself. And so I don't think anybody's going to be surprised about what we submit. And we're certainly not going to be surprised about what expectations they have on the FDA side of the equation. All that said, priority review would typically get you an approval timeline in the range of six, seven months, something like that, unless we get a complete response letter and then require additional information, which would extend the timeline. But certainly we're hoping to avoid that by delivering a very comprehensive and complete package on the front end.
Bob Labick: Okay, that's very exciting. And then I think you may have touched on this at the Analyst Day, but I figured I was just asking in this context, as well. Obviously, a lot of time has passed since you originally thought you would be submitting or getting very close to the submission finish line, which is exciting. Can you talk about how the underlying markets develop during this time period? So, from your opportunity set, and also from a -- you mentioned something about The Netherlands reactor. So, from a competitive supply standpoint, how the market is developed? And how you are situated to fit in?
Rex Geveden: Yes, sure, Bob I'll try to try do that. So, we -- there are other competitors that are developing Moly for commercialization; Shine is a name that you hear a lot. Shine is in a different place in the value chain than we are, they're delivering the Moly itself. We moved up the value chain and are delivering the generator product. It's kind of a generic offering in the sense that that whatever customer could use our own cold kits with our offering. So, we're in a little different place in the value chain. I think we're ahead of others that are that our competitors into the market. Obviously, they're already established players like Lantheus and Curium. And, of course, they maintain their competitive position, but their product -- as I've said from the beginning is based around uranium targets; in some cases weapons-grade uranium and no -- and at the very least, high SA low enriched uranium. Ours uses industrial Moly metal. So, we have a non-proliferation advantage. Since ours is produced on a commercial power reactor, ultimately, we have continuity supply advantage. And then because it is industrial Moly metal, very limited nuclear waste stream. So, we have waste advantages, cost advantages, continuity of supply advantages, and proliferation risk advantages, and all of that makes for a very compelling offering. And we believe that the market uptake for the product will be quite strong.
Robb LeMasters: I might also add just to touch on some of the other aspects of the broader BWXT medical, as you know, on Investor Day, we laid out exactly as Rex said that that part of our portfolio, the core product there in the diagnostics area, the market has gotten better, in general, and we feel good about that. Overall, the business as you know, has a couple other exciting opportunities for it. We still have that exciting core Nordion portfolio, which includes a couple key products there, as well as [indiscernible] and that really is doing quite well for us. That's a second sort of growth opportunity that really has panned out well within that portfolio. And then thirdly, I think we shares the therapeutics opportunity that we see and the related contract, drug manufacturing opportunity as it relates to therapeutics and when so when you summarize those three markets, the diagnostics opportunity that Rex said, the Nordion portfolio, and then the therapeutics, we really stand to really have a pretty good outlook for that industry. It's really gotten better. And as you know, it culminates in kind of those statistics that we put out there of getting almost $200 million of revenue, a couple years out and $75 million EBITDA across those three sort of business lines, if you will.
Bob Labick: Okay, that's super. Thank you so much.
Rex Geveden: You're welcome Bob.
Operator: [Operator Instructions] I'm showing no further questions at this time. So, I will turn the conference back over to Mark Kratz for any closing remarks.
Mark Kratz: Thank you, Andrea. Thank you for joining us today. That concludes this conference call. If you have further questions, you can reach me by phone at 980-365-4300 or email at investors@bwxt.com.
Operator: The conference has no concluded. Thank you for attending today's presentation and you may now disconnect.